Operator: Good morning, and welcome to the Berkshire Grey Q2 2022 Earnings Conference Call. [Operator Instructions] Please note that today's event is being recorded. At this time, I would like to turn the conference over to Sara Buda, Vice President, Investor Relations. Please go ahead.
Sara Buda: Great. Thank you. Good morning, everybody, and thank you for joining Berkshire Grey's Second Quarter 2022 Earnings Conference Call. Earlier today, we issued a press release announcing our financial results. The release is available on our Investor Relations website at ir.berkshiregrey.com. Leading today's discussion will be Berkshire Grey's Founder and Chief Executive Officer, Tom Wagner; and our Chief Financial Officer, Mark Fidler. Following management's prepared remarks, we will open up the call to questions. Before we get started, we would like to inform you that certain statements made during this conference call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Future operating performance and financial results of the business may differ materially from those expressed or implied in any forward-looking statements provided on this conference call due to various uncertainties and risk factors. Information concerning these uncertainties and risk factors is contained in our filings with the SEC. Forward-looking statements included on this call are based on information currently available to us and represent the company's current view as of the date these statements are made. We do not commit to update these statements. As a reminder, we will be referring to some non-GAAP financial measures during today's call. A detailed reconciliation of GAAP and non-GAAP measures can be found in our earnings press release today, which will be furnished to the SEC and is available now on our IR website. These non-GAAP measures are in addition and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP and should not be considered as an alternative to any performance measures derived in accordance with GAAP. With that, I'll turn the call over to Tom Wagner, our CEO.
Tom Wagner: Thank you, Sara. Good morning, everyone. Welcome to our second quarter 2022 earnings call. Today, Mark and I are going to update you on our quarterly performance, our operational execution, our long-term strategic alignment with customers and the continued favorable macro environment driving the need for automation. First, let's talk about the quarter. In the second quarter, we delivered revenue of over $23 million, growth of almost $19 million year-over-year and well ahead of expectations. Through July, we secured $23 million in new orders this year, of which approximately $20 million were secured since our last earnings call. We've made good progress with winning new orders and expect more to come in the second half, which is consistent with what we've shared previously. As we increase our deployment activities and grow our order book, we are focused on execution. During the second quarter, we actively deployed our solutions with 8 customers across 16 sites throughout the United States and Canada. Deployments will continue to scale in the second half. We continue to prove ourselves and our technology is driving tangible value for customers. In fact, most of the orders we received this year are follow-on orders with existing customers. Our deployment teams are executing and our technology continues to exceed customer expectations, which is important for us to meet our growth goals. Continuing the execution theme, we're making progress on improving products' margins. Mark will provide more color shortly, but we have achieved cost improvements for all of our products, which will be realized for deployments in 2023. We -- the end result is that we're well positioned for overall significant gross margin improvement next year and beyond. Now I'd like to discuss the strategic matter involving one of our major customers, FedEx. As many of you know, we've been deploying our RPSi solution at FedEx sites for a couple of years now. The RPSi solution, which stands for Robotic, Product, Sortation and Identification, takes in small packages like those produced by e-commerce. And with one system, singulates, scans and sorts these items, so they can make their way through the FedEx network. Our RPSi handles everything from padded mailers to boxes to tubes, to envelopes, to poly bags with 1 system. Based on the success of RPSi last year, we have also secured orders for other BG technology solutions within different operating units at FedEx. Due to our technology and execution, we built a foundation of trust and partnership with FedEx. Last week, we announced a significant expansion of this important relationship. First, we secured an order from FedEx to develop a new AI robotic automation solution to help improve the efficiency of their package handling operations globally. This order means we will build on our technology platform and create a new incarnation of these technologies embodied in a new system. Most importantly, the new system will address a significant need as we believe there is no other solution available today to automate this process. Once the initial development program is complete, we expect it will lead to additional commercial orders. Further, the solution can be sold to many others since it addresses an issue that is commonplace for retailers and logistics companies alike. In fact, we estimate that there is a multibillion-dollar global market for this application alone. So by doing this work with FedEx, we build on our relationship and create a new differentiated solution for them, while expanding our market opportunity over the long term. Because this arrangement is very strategic in nature, we also entered into an agreement to grant FedEx a warrant to purchase Berkshire Grey common stock. Specifically, Berkshire Grey has granted FedEx a warrant to purchase approximately 25 million shares of our common stock, which vests incrementally. The full vesting of all 25 million shares occurs upon the ordering of or payment for at least $200 million of our goods and services prior to December 31, 2025. You can refer to our SEC filings on August 2 for the details. Finally, last week, we also announced that we and FedEx intend to finalize the master system purchase agreement this year, which will streamline and expedite the procurement process for Berkshire Grey solutions across all FedEx operating companies globally. Having this in place can potentially accelerate our follow-on order process. As evidence of the importance of our relationship to FedEx, John Smith, CEO of FedEx Ground, commented about our announcement on LinkedIn stating FedEx announced it's extending its strategic partnership with Berkshire Grey to develop extensive AI robotic automation solutions throughout all stages of the global supply chain. We also went on to state I'm especially excited to continue the work that initially began at FedEx Ground, integrating robotics into our operations to safely and effectively sort the increasing number of small packages entering our network through e-commerce. John's commentary underscores the value of Berkshire Grey at their organization, and we're delighted with the strong relationship between our companies. As we stated on our last earnings call, one of our goals is to build on our success of repeat orders with customers and move our customers into long-term strategic relationships. The agreements with FedEx certainly marked progress in achieving that goal, and we continue to work on others. Now I'd like to talk about our perspective on the current macro environment. As we've described, we made industry-leading AI-enabled robotic systems to fulfill e-commerce and retail orders and handle e-commerce packages as they make their way to your door. We automate difficult labor-intensive tasks within fulfillment operations, including picking, sorting, packing, moving and organizing. Due to our patented differentiated hardware and software, we believe respectfully, that we automate these tasks better than any other company in the industry. Our solutions deliver upstream and downstream operational efficiencies, broad SKU coverage, maximum throughput and high accuracy. In fact, one customer recently commented that they were able to more than triple their productivity per square foot by implementing BG and their distribution centers. We deliver the value and return on investment our customers need. The follow-on orders we received from customers affirm this. When it comes to the macros, the environment continues to be favorable. Our customers continue to be under tremendous pressure to meet consumer expectations and maintain their competitive advantage. One only needs to touch the cell phone in one's pocket to relate to consumer expectations. We, as consumers, demand fast fulfillment of orders, fast and efficient shipping and if we go to a retail store, we want to find the items we're looking for in the store. Now when it comes to competitive advantage for our customers, recall nearly every retailer and e-commerce company competes for consumer dollars. At Berkshire Grey, we offer operational improvements and competitive advantage. In parallel when it comes to staffing warehouse operations, it continues to be hard to hire and retain people. Our automation allows our customers to redeploy existing employees to perform higher value-add functions, which further improves operational costs, particularly when inflationary pressures persist. In short, the tailwinds for our business remain strong. As such, our commercial teams are busy as ever, working with existing customers and prospects to offer real solutions to real problems. In summary, we're delighted with our Q2 revenue growth, recent orders and our strategic agreements with FedEx. The macro environment continues to be strong, and we continue to execute operationally. We are well positioned for growth. Now let me turn it over to Mark to give some details on the quarter and our outlook for the year.
Mark Fidler: Thanks, Tom, and good morning, everyone. I'd like to start off by discussing the results of our second quarter. Revenue for the quarter was $23 million, an increase of over 400% year-over-year and well ahead of consensus estimates. Deployments with customers ramped substantially in the second quarter. And since we've become more efficient with our deployment processes as we've installed more systems, we've been able to realize revenue on some projects sooner than anticipated. These efficiency improvements are an important part of our efforts to improve gross margins, which I will address further shortly. Moving to orders. Since our last earnings call, we secured new orders of $20 million through July, including the new order from FedEx that Tom talked about as well as orders from other customers. We expect to realize revenue for that order over the next 12 months or so. Clearly, we're excited about the overall strategic relationship we've established with FedEx and the growth opportunity it represents. Our backlog is approximately $100 million, including the order we received in July. So far this year, most of the orders represent follow-on orders from existing customers. Our commercial teams continue to be very busy actively engaged with existing customers and new prospects, and we expect orders in the second half to be higher than the first half as previously communicated. Moving to gross margin. We continue to implement the margin improvement initiatives we have previously outlined. We're seeing 3 positive trends with these efforts. First, our mature products, which were already generating positive margins are improving further as we realize efficiencies with each new deployment. Quite simply, we are reducing deployment costs with each new site. Second, we're making excellent progress on all of our product cost reduction initiatives. Let me highlight 2 examples. As you'll recall, one of our new products we announced late last year realized negative margins, which impacted overall gross margins last year and this year. We recently implemented several design changes and improved deployment times that will result in lowering this product's overall cost by 10% so far and we expect further improvements this year as well, which will all be in place for deployments for next year. Another example relates to our most recently released product, which is being deployed for the first time this year. We have already implemented design changes and have improved deployment time substantially, which will reduce costs by over 20% for those systems to be deployed next year. We continue to make progress reducing the cost of all of our products, and we're encouraged by our efforts to date. Finally, we've been raising prices for future orders for many of our products, which will also help bolster margins as well. So we're pleased with the progress we're making to improve margins in the future. While overall gross margin is still expected to be slightly negative for 2022, we're on plan to achieve overall positive gross margin in 2023 and beyond, and we remain confident in our ability to achieve our run rate operating metrics of approximately 50% gross margin in the long term. Moving to operating expenses. Total OpEx for the quarter was $28.5 million, excluding stock-based compensation. As we've matured as a company, we've become more efficient as an organization. Additionally, we recently have taken some other measures to reduce our cash burn. We expect all of these initiatives will reduce our annualized cash burn by about $20 million, and we will start to see that benefit toward the end of the third quarter. Adjusted EBITDA, which is defined as loss from operations adjusted primarily for depreciation, stock comp expense and changes in the fair value of warrants was negative $30.3 million in the second quarter, a modest improvement from Q1. A reconciliation of our net loss to adjusted EBITDA is included in our press release. On the balance sheet, we ended the quarter with over $108 million of cash and no debt. Looking ahead, we remain confident in our growth trajectory. As mentioned since our last call, we secured $20 million in orders. And with the July orders, we have a backlog of $100 million, providing good visibility for revenue. Included in that backlog is the remaining deployment of a large system with Target, one of our strategic customers. We have been working with them over the last several months to expand the scope of our project, which has the potential to increase our opportunity with them, not just on this existing project, but for new facilities as well. As a result of these discussions, the current project schedule has shifted, which will have a short-term impact on revenue this year, but has the potential to increase our overall opportunity with them next year and in the future. As such, we're updating our revenue forecast for 2022 to be between $70 million and $80 million. We have strong conviction in our growth potential. Our commercial teams are as busy as ever. Our pipeline continues to grow and our recent activities with FedEx and other strategic customers further bolsters our growth prospects. So to reiterate some key points, we continue to be in a strong position to execute. Our technology is proven, in production and driving tangible ROI for Fortune 100 customers. We continue to expand our commercial relationships. The recent agreements with FedEx is an example of this. Macro tailwinds continue to drive the need for automation. Inflationary pressures exacerbate the need for companies to become more efficient with their processes. And our backlog, combined with our growing pipeline provides us with either greater conviction about our long-term growth prospects. Now operator, we'll turn it over for Q&A.
Operator: [Operator Instructions] Today's first question comes from John Walsh with Credit Suisse.
John Walsh: Wondering if we can first touch on, I guess, since you named this project with Target. Can you give us a little bit more around what kind of is pushing this to the right? And then you talk about potential for a larger opportunity. I mean, is this something where we could see similar to how you announced with FedEx over time? Or can you help kind of help us dimensionalize what the opportunity could look like beyond '23?
Tom Wagner: Sure. Let me actually answer a segment of that and so forth. The -- when it comes to Target, you're aware, they've deployed our technology. They feature our mobile systems in one of their recent earnings calls. Another deployment of our technology was slated to start this year in the second half. We are in discussions with them on a change in scope, which means the deployment could be larger long term, but it's not expected to deliver revenue this year as originally anticipated. In general, our work with them is exciting, and we appreciate their high-level engagement.
Mark Fidler: And I would add for sort of the long term, Target was -- has been a very strategic customer for us. As we've talked about on prior calls that we are working with all of our strategic customers and other customers to expand relationships. The fact that we've done projects with them already, we've proven the technology with them. We've made the progress that we've made. They've seen our capabilities. These are -- we're getting into much deeper conversations with Target and others about what our opportunity with them could be long term. And the goal is to, as Tom remarked in his comments, to ultimately move folks to long-term relationships. And so we're right in the middle of that now with Target and with others.
John Walsh: Great. And then maybe one more question around growth. Great to see that you've got 14 partners here in the Partner Alliance. Can you maybe help us understand how that's a lever for growth, maybe targeting more new logos through that partnership alliance? Or is that also for existing customers as well to scale greater with them?
Tom Wagner: Sure. The partnership program actually has a few different elements. From a growth perspective for some of our partnerships, and we have named partners, for instance, like Swisslog, they have their own go-to-market engine, their own customer base where they have established relationships. And for relationships that are like that with Swisslog, then we will do go-to-market sharing and do pursuit and help customers together as a joint activity. And so that expands, if you will, our go-to-market strength in our sales energy. Some of these other partnerships, though also include things like systems integrators, who are helping us to install systems and make them operational and so forth in a cost-effective fashion. And others are technology alliance. We've recently mentioned ABB is an illustration. And we also have some partnerships that are in the WMS and software space. Generally, there's an element of go-to-market in many of those and in an element of efficiently deploy solutions in those and then technology-centric relationships as well like ABB.
John Walsh: No, that's great. And then maybe one last one for me, and then I'll pass the baton. But just you highlighted some of these cost. Well, I guess, let's say, cash saving initiatives, I think, to the tune of $20 million annualized reduction to your annual cash burn. You're at $108 million cash, no debt. Any update or view on kind of the capital requirements or needs of the business near term? I know we've been talking about that for the last couple of quarters.
Mark Fidler: Yes. Short answer is there's no change. We do expect that we still need to raise capital in order to fully execute our business plan, and we remain confident that when the time comes for us to do that, that we'll be able to do so.
Operator: The next question comes from Greg Palm with Craig-Hallum Capital Group.
Greg Palm: Congrats on the continued progress here. I guess, starting with the Target news, I'm curious in terms of the change there with the scope. Is your understanding that it is a change in the size of the project itself? Or is it a change in the number of facilities that they may want to outfit with automation? Just I'm cognizant of how much you can and can't say, but can you go into a little bit more detail in terms of what actually changed?
Mark Fidler: It's a little bit of all the above. So again, if I go -- if we go back to what I said before, which is we've deployed systems with Target, they can see what our -- they see what the technology can do. They see the benefit. They see what our capabilities are as they look to see what the needs are within their, not only in the existing facility, in which we're currently deploying, but also with facilities into the future, they're seeing what we could do for them. And that, in turn, is really potentially changing the scope here, both in size and in what it is that we will be doing for them to automate their facilities. So these are all positive very positive discussions that we're having with Target. And by the way, it's not just with Target that we're doing this, we're doing this with all of our customers with whom we've been working with and had repeat deployments with. As we deploy, and we are very successful with the deployments, the customers are actually seeing the benefit. They're ordering more as evidenced by all the orders that we've had this year so far, almost all of them were repeat orders. And they're also now looking at where else can we -- our technology benefit them throughout their networks.
Greg Palm: Understood. And do you imagine that any future orders, deployments from them would then be under some sort of master purchase agreement or long-term arrangement? Or are they just holding off for a little bit until, I don't know, you figure things out until you get this delayed one out the door?
Mark Fidler: We're going to continue to work towards -- with all of our strategic customers and other customers towards these sort of long-term relationships, whether they're through master purchase agreements or multiple facility rollouts, that's the goal with all of them. We've made progress with the FedEx announcement and we're continuing to work the others as well. And we expect that over time that we will be successful in that regard.
Greg Palm: Got it. Okay. And then shifting to FedEx. I'm curious if you can give us any more details on the new product, the new solution that you're working on with them? It doesn't sound like it's a product line or a solution that you are fulfilling today. So can you give us some sense on what exactly it is? I think Tom, you talked about a couple of billion dollar TAM. It sounds like it's not just logistics, but it's maybe it's applicable to your entire customer base. Is that right?
Tom Wagner: That's right. Greg, the public points, we have in order to develop a new solution. Once it's deployed, we expect that FedEx will be eagerly consuming it as well as it is marketable and addressable to everybody else, who does retail and e-com. The underlying problem is a very commonly occurring problem. The other pieces that we publicly shared is the intent to execute the master system purchase agreement and the warrants and so forth, along with the $200 million in goods and services prior to December 31, 2025, in order to enable those fully. The details of the new solution and what it automates I need to keep close hold for the time being.
Greg Palm: Okay. And just to be clear, is the $200 million, I mean, do you have line of sight of $200 million of orders for just RPSi? Meaning that if this new solution that you're working on, if it's deployed successfully, then the $200 million could grow to some other level over time?
Mark Fidler: Well, so yes, of course, the number is -- we expect to be much greater over the long term with FedEx. The way that we've structured the vesting schedule for those -- for the warrants is based on a $200 million sort of expectation, that's what's going to be purchased by the end of 2025. Now what we can say is that the existing products that we sell today to FedEx are likely going to make up the lion's share of that at least within the next couple of years because we still have to develop the system under this development agreement. So for at least the next couple of years or so, it's going to be the existing products that will be sort of credited towards that, if you would.
Greg Palm: Okay. And then just last one. Just can you quantify development cycle? I mean, are we talking quarters? Are we talking years? How long should we expect for the new product?
Mark Fidler: Yes. As I mentioned, we expect to realize revenue under that arrangement over the next 12 months or so.
Operator: Our next question comes from Andrew Obin with Bank of America.
Andrew Obin: Just to go back to Target, just to make it clear. Investors have a lot of concerns. We've been hearing a lot of things about e-commerce-related revenues being pushed out across the industry. And it actually -- it sounds that given the nature of your relationships with your customers, right, that everything you are doing, you're on track, right? Just want to confirm that your growth trajectory is, in fact, somewhat different from the rest of the industry given the nature of what you're doing. Is that a fair way of saying it?
Tom Wagner: Yes. Andrew, we haven't really heard our customers pausing on their automation plans. Interest is high, macros are still there. The customers all have that pressure, which is they have to become more efficient and reduce operating costs. So we haven't heard our customers pausing.
Andrew Obin: And just, how do you think about it? We had a dinner recently with one of your partners, I guess. And labor costs are hitting a 40-year high. At the same time, I think it does take just the inertia for these companies to implement these projects. It seems like well over 18 months -- 18, 24 months to implement something meaningful. You have supply chain issues for the industry earlier. Can you just give us more color on how this sort of stands for lack of a better term is playing out in the industry, right? Labor costs continue to hit multi-decade high, probably -- you need more automation, probably more picking product, yet there's this natural delay as to how these organizations implement these large-scale solutions and changes to how they do business. And as I said, if you can throw in supply chain in there as well?
Mark Fidler: If I understand your question, Andrew, I think, yes, the inflationary pressures from -- due to labor as well as labor shortages have really -- we've seen what it's been doing to the bottom line for a lot of these businesses in the industry. And this is the reason why they haven't paused their automation plans. And while it does take time for them to plan, particularly on a large scale, the rollout of the technology from what we've seen, they're still doing that. And I think sort of the proof points are the expanded kind of increased conversations that we're having with Target around their projects. What we've recently sort of signed with FedEx and not just the products that we're selling to them now, but addressing a real problem, a real need of theirs. The repeat orders that we're getting from really all of our customers, including strategics. I think those are the kind of the proof points that they're still feeling the pressures that we've been talking about for a couple of years now, even before COVID. So these are the kinds of things, and they're all thinking big. They're all thinking big and right there with them. And it takes time to plan these things out as we see in like with what we're talking with Target, but we haven't seen a pause, and so we expect that things will continue to accelerate over time.
Andrew Obin: And then just the last question for me. The cash impact of this pushout of Target, so is there a working capital associated with less deployment of target this year? Is that part of $20 million in cash burn savings. And then for next year, as the scope of the project, it seems like there is a chance that it will increase materially. Does that mean that you will require more working capital next year to just service this large opportunity?
Mark Fidler: So the short answer is no. We typically have favorable payment terms from our customers, Target included where we're receiving significant upfront payments, sometimes on the order of 30% to 50% of the total project can be paid upfront. So we typically have not seen nor do we expect large working capital requirements to execute projects.
Operator: At this time, we are showing no further questioners in the queue. And this concludes our question-and-answer session. At this time, I would like to turn the conference back over to Tom Wagner for any closing remarks.
Tom Wagner: Thank you, everybody, for spending time with us today. We'll talk to you again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.